Operator: All participants please standby, your conference is now ready to begin. Good morning, ladies and gentlemen. Welcome to the CIBC Third Quarter Results Conference Call. Please be advised that this call is being recorded. To reduce the audio interference, please turn your Blackberry off for the duration of the meeting. I would now like to turn the meeting over to Mr. Geoff Weiss, Senior Vice President, Investor Relations. Please go ahead Mr. Weiss.
Geoff Weiss: Good morning and thank you for joining us. This morning CIBC’s senior executives will review CIBC's 2015 third quarter results that were released earlier today. The documents referenced on this call, including CIBC's third quarter news release, investor presentation and financial supplement, can all be found on our website at cibc.com. In addition, an archive of this audio webcast will be available on our website later today. This morning's agenda will include opening remarks from Victor Dodig, CIBC's President and Chief Executive Officer; Kevin Glass, our Chief Financial Officer will follow with the financial review; and Laura Dottori-Attanasio, our Chief Risk Officer, will close the formal remarks with the risk management update. After the presentations, there will be a question-and-answer period that will conclude by 9:00 a.m. Also with us for the question-and-answer period are CIBC's business leaders, including Geoff Belsher; Harry Culham; Steve Geist; and David Williamson, as well as other senior officers. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today's call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC's actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today's press release. With that, let me now turn the meeting over to Victor.
Victor Dodig: Thanks, Geoff. Good morning, everyone and thank you for joining us on our call today. Earlier this morning, CIBC released record third quarter adjusted net income of $990 million or $2.45 per share, up 10% from the same period last year. We are pleased with the overall quality of our earnings and performance across all of our businesses. Our client focused strategy is generating strong and deposit growth underpinned by strong capital, stable credit quality and industry leading returns. Our adjusted ROE was 20.6% for the quarter. On the capital front, our Basel III CET 1 ratio remained strong at 10.8%. In this morning, we also announced our fourth consecutive dividend increase, raising our quarterly dividend by $0.03 to $1.12 per share. And this is consistent with our plan to move towards the upper end of our 40% to 50% target payout range. With this increase, our dividends paid will have grown by 12% over the past year. Although the headwinds from a low interest rate environment and prolonged oil price is persist, we are confident that our earnings power, high quality loan portfolio and strong balance sheet will allows us to maintain this higher level of dividend. While energy producing provinces are like we experienced further weakness in the coming quarters, we are seeing some signs of rebound in the manufacturing data with growing demand from the U.S. our largest trading partner which is impart driven by more competitive Canadian exchange rate. These macro trends combined with the benefits we are seeing from our client focused strategy are expected to mitigate the negative returns impact from a prolonged downturn energy prices. Our focus on building a strong, innovative and relationship oriented bank is paying off. Our performance this quarter underscores the progress we are making and executing our strategy to transform our bank. A key pillar of our strategy is focusing on our clients. In the most recent JD Power and Associates retail banking surveys, CIBC was the only bank showing improvement over the last three years in both surveys. We’re pleased with this momentum oversetting our sights higher as a team when it comes to serving our clients. Another pillar of our strategy is innovating for the future. We’ve talked about the importance of innovation as new technologies continue to reshape the way our clients bank with us and transact with us. As the pace of change increases so do our clients’ expectations for better, faster and more user friendly mobile banking solutions. While a lot has changed, our tradition of adopting technology to enhance the client experience has and will remain constant. In addition to developing in-house industry leading mobile banking apps for smart phones and tablets will also enter into strategic partnerships where appropriate. In April, we announced our strategic alliance of MaRS Discovery District and this allowed us to be the first Canadian bank to allow banking app without a watch. We’re also the first Canadian bank to enter into a strategic partnership with Surtab, a mobile wallet offered by some of Canada’s leading wireless carriers for Android and Blackberry devices. In addition to focusing on innovation in clients, the third pillar of our strategy is simplifying our bank. We are simplifying in transforming the way we operate and we will continue to do this. We’ll do this because it makes it easier for our clients to bank with us. We’ll do it because it easier for our team to get worked on. And we’ll do it because it will increase efficiency and free up resources we can reinvest in our business. We are confident as simplifying our bank, innovating for the future and building deep relationships with the clients’ positions us well to deliver value to our shareholders in the modern world of banking. So now I am going to turn to our business segments. I am going to start with retail and business banking. Retail and business banking reported year-over-year adjusted earnings growth of 7% with solid top line growth in both personal and business banking. .Our retail segment benefited from volume growth with new clients and increase depth of relationship with our existing client base, higher net interest margins and lower loan losses, as well with a focused investment plan despite a challenging economic backdrop, the team delivered operating leverage that was positive. During the quarter, we announced that expansion of our partnership with TELUS by offering a new VISA rewards card in TELUS retail locations across Canada. This means that clients visiting their store to shop for the latest mobile device can also walkout with an approved CIBC credit card and earn rewards towards their next purchase. My colleague David Williamson is here this morning to answer questions about retail and business banking. Wholesale banking reported year-over-year adjusted earnings growth of 8%. Strong growth in trading was partially offset by slower advisory and equity underwriting activity this quarter. Our wholesale banking group continues to make progress in deepening client relationships within Canada where we hold a top three position in underwriting, advisory and lending. We are using this leadership position to help our clients, to help with navigate volatile markets, which is resulted in solid trading revenue across the capital markets businesses. Strong client coverage also led to wins across a wide range of sectors helping to offset lower activity in the energy sector. We also support our clients who conduct business outside of Canada. We won mandates ranging from the energy and utility sector in Europe to toll road infrastructure in the U.S. In consistent with our efforts across CIBC, our focus on innovation comminuted in the launch of a new online site for Canadians to purchase foreign exchange and have it delivered to their home before they travel. A great example how we’re making, making it easy and flexible. My colleague Harry Culham and Geoff Belsher are here to answer your question this morning. Now let me turn to wealth management, where we continue to have great momentum across all of businesses and this result in record earnings this quarter with year-over-year growth of 15%. CIBC asset management achieved record year-to-date net sales of long-term mutual funds totaling $5.1 billion and we continue to grow our fee based business revenue across our platforms. These net sales and market appreciation have driven assets under management up 15% from a year ago. And we’re also seeing momentum in our brokerage business as a result of recent changes to a self-directed platform. CIBC investors hedge third quarter account openings with a strongest that we’ve seen in 15 years. My colleague Steve Geist is here this morning to answer questions on wealth management. So to conclude, our result this quarter demonstrates CIBC’s earnings power, driven by our three strategic pillars. We’re focusing on our clients, we’re innovating for the future and we’re simplifying our bank. And despite the economic challenges of the current economic environment, we continue to attract new clients and generate capital to grow our businesses. Before I turn the meeting over to Kevin Glass, I’d like to remind everyone that we’ll be holding an Investor Day on October 7th in Toronto for analysts and our investors. And most importantly on behalf of CIBC’s executive committee and our board, I’d like to thank our shareholders for their continued support and I’d like to thank all of CIBC’s team members for their ongoing dedication to serving our 11 million clients. I’ll turn the call over to Kevin.
Kevin Glass: Thanks Victor. So my presentation will refer to the slide that have posted on our website starting with slide six, which is a summary of results for the quarter. So CIBC performed very well again this quarter with reported earnings of $978 million and adjusted earnings of $990 million. All of that businesses had record earnings this quarter. Adjusted EPS was $2.45 up 10% year-over-year. It was a strong quarter with broad and balanced underlying growth in all of our businesses. We continue to make good progress towards our medium-term financial targets. The quarter affected strong volume growth and improved margins in retail and business banking. Wealth management achieved higher earnings driven by solid asset growth. Strong performance in wholesale banking resulted from client, driven growth in capital markets and/or consistent in strong earnings allowed us to increase our quarterly dividend by $0.03 to $1.12 per share. There are two items to note this quarter which resulted in a negative impact of $0.03 per share and after tax loss of $5 million from our structured credit runoff business and amortization of intangible assets of $7 million after tax. The balance of my presentation will be focused on adjusted results which exclude these items of note. We’ve included slides with reported results in the appendix to this presentation. Let me now review the performance of our business segments starting with results from our retail and business banking on slide seven. Revenue for the quarter was $2.1 billion, up 5% from last year driven by strong results in both personal and business banking. Revenue in personal banking was $1.7 billion, up 5% compared with last year. Performance benefited from broad based volume growth as well as higher revenue from strong mutual fund sales, mortgage growth of 6% was held by above market growth in CIBC brand mortgages of 15% partially offset by the runoff of the first line broker business. We continue to see strong personal savings growth with personal deposits up 12% year-over-year. Business banking revenue was $410 million, up 5% from last year driven by strong volume growth and higher fee income. Business lending balances were up 10% and business deposits were up 6% from the same period last year. The provision for credit losses was $165 million, down 7% on a year-over-year basis mainly due to lower write-offs and bankruptcies in cards and lower business banking losses. Noninterest expenses were $1.1 billion, up 4% from the prior year primarily driven by our continued investment in growth initiatives. We delivered positive operating leverage of 1% this quarter. Net interest margins was up 3 basis points sequentially mainly due to improved customer pricing and widest space on variable rate lending products. Going forward, we expect our limits to be stable. And net income for the quarter was $638 million up 7% from the prior year. Slide eight reflects the results of our wealth management franchise. Revenue was $730 million, up $61 million or 11% from the prior year with solid performances from all business lines. Excluding the impact of foreign exchange in our results, revenue grew approximately 9%. Retail brokerage revenue of $312 million was up $5 million or 2% compared with prior year due to continued growth in fee based revenue partially offset by lower commissions as a result of lowering new issue activity. Asset management revenue of $225 million was up $38 million or 20% from last year. This was largely due to higher assets under management driven by net sales of long term mutual funds and market appreciation. On a year-to-date basis, we achieved $5.1 billion in net sales on long term mutual funds. Private wealth management revenue of $93 million was up $18 million or 24% mainly due to higher assets under management driven by net flows and market appreciation as well as the impact of the weaker Canadian dollar. Non-interest expenses of $440 million were up $35 million or 9% primarily due to higher performance based compensation and other employee related costs. Net income in wealth management was up $19 million or 15% from Q3 of last year. Slide nine reflects the results of our wholesale banking where we delivered another quarter very strong earnings. Revenue this year was $698 million up $79 million or 13% compared with a prior year. Capital markets revenue of $417 million was up $81 million or 24% due to significant client activity in equity derivatives, interest rates and foreign exchange trading partially offset by lower revenue from equity issuance activity. Higher than usual market activity drove particularly strong trading quarter. As we believe to which we can sustain these results will depend on market conditions and client activity. And so far the fourth quarter is off to a slower start. Corporate and investment banking revenue was $277 million in line with a prior year. Higher revenue from corporate banking and real estate finance was offset by lower underwriting and advisory revenue primarily due to lower issue activity. Provision for credit losses was $9 million compared with $6 million in the prior year. Non-interest expenses were $335 up $57 million or 21% primarily due to higher employee related costs. Net income for wholesales banking was $275 million f or the quarter up $21 million or 8% from the prior year. Slide 10 reflects the results of the corporate and other segment to where the net loss for the quarter was $66 million compared to the net loss of $67 million in the prior year. Lower revenue in treasury was largely offset by higher earnings in CIBC FirstCaribbean. So we expect losses in this segment to remain at current levels going forward. CIBC’s capital position remained strong; our Basel III Common Equity Tier 1 ratio was 10.8% the same level as in the prior quarter. Internal capital generation was offset by the impact of higher risk weighted assets, Our WAs increased by 7 billion from the prior quarter as a result of strong growth in our lending portfolio as well as the impact of the weaker Canadian dollar. Our Basel III leverage ratio was 3.9% well above the minimum required by our regulator. To wrap up, we are very pleased with our record results this quarter which demonstrate the broad and diversified strength of our businesses. This positions us well to deal with the challenging economic outlook. With that I’d like to turn the meeting over to Laura Dottori-Attanasio.
Laura Dottori-Attanasio: Thanks Kevin. Good morning, everyone. I’ll be referring to the risk section which begins on slide 13. You’ll see that loan losses came in at 189 million or 25 basis points. That’s down 8 million or 5 basis points from the prior quarter. This was mainly due to lower losses in credit cards and out business banking in FirstCaribbean portfolios that was partially offset by higher losses in wholesale banking. Turning to slide 14, new formations were down quarter-over-quarter at 317 million. Growth impaired loans were relatively flat from the last quarter as the decreases in CIBC FirstCaribbean were offset by the impact of the U.S. dollar appreciation. Growth impaired loans as a percentage of growth loans and acceptances came in at 51 basis points, which is down quarter-over-quarter and year-over-year. Slide 15 shows our oil and gas portfolio. As it relates to our wholesale and business banking portfolios, we have 17.4 billion of direct exposure, that’s up 700 million from last quarter. The majority of this is FX related. Our loans outstanding have decreased 2% quarter-over-quarter. 57% of our direct exposure is to exploration and production companies and only 5% is in the services space. 70% of this is an investment grade exposure. This quarter one oil and gas account of less than 10 million became impaired with no material losses expected from this account at this time. On the next slide, as it relates to our retail portfolio, we have 38 billion of indirect retail exposure to the oil provinces of Alberta, Saskatchewan and Newfoundland excluding insured mortgages we had 17 billion. There have been no notable increases in delinquencies in our retail portfolio. The credit quality of both the wholesale and business banking oil and gas portfolio and the indirect retail portfolios affected by the price of oil remained relatively stable despite a few downgrades. Continued low prices mainly to additional loan losses that said these losses would be expected to remain within our risk apatite tolerant. We continued to be vigilant and to proactively monitor these portfolios. Turning to cards on slide 17, our net credit losses were $93 million this quarter, that’s down $6 million from last quarter and this is attributable to lower write-off. The overall delinquency rates continue to improve and credit quality of this portfolio continues to remain high. Our Canadian residential mortgage portfolio is highlighted on slide 18. As you can see, 65% of our portfolio is insured with 84% of the insurance being provided by the CMHC. The weighted average loan to value to our uninsured portfolio is 60% and has remained stable over the past year. Condo mortgages account for roughly 11% of our portfolio, and the loan to value of the uninsured portion is 62%. Slide 19 shows our condo developer exposure which remains diversified across many projects. At the end of the quarter, our authorized loans to construction projects were just under $3 billion, our drawn loans were $900 million. Both drawn and authorized loans have remained stable over the year. Lastly on slide 20, this shows the distribution of revenue in our trading portfolios as compared with Var. We had positive trading days everyday this quarter compared with 98% of the time last quarter. Our average trading VaR was 3.7 million and that’s up from 4.5 million last quarter. With that I’ll turn things back to Geoff.
Geoff Weiss: Thank you. That concludes our prepared remarks and we’ll move to questions. Operator, can be please have the first question on the call. Thank you, Mr. Weiss. [Operator Instructions] The first question is from John Aiken from Barclays Capital. Please go ahead, your line is open.
John Aiken: Good morning. Kevin, the net interest margins was in the Canadian retail banking up 3 basis points sequentially, very impressive. I am assuming a lot of that has do with business mix, but how defensible do you think that margin is going forward with the bank accounted reductions that we’ve seen as well as I guess the increasing possibility we may actually see another rate decrease coming at some point of horizon?
Kevin Glass: John, it makes the play apart and what I think I would also hand it over to David to give you a bit more color. But I think moving forward, we would see NIMs begin relatively stable with rate cuts as we’ve seen there some plus and minuses, the prime quite helps us but down deposit product is a bit of a hurt. But so far that’s working out okay. So I am going to hand over to David and he can give you a bit more color is to how he sees things playing out.
David Williamson: Okay, Kevin. Good morning, John. So if decamp it and this is can maybe give some indication of what the future holds. If you look at business banking, margins were up in business banking, there it is mix. We are growing the overall book but the commercial mortgage book as we’ve talked about in the past for the lower margin part, we’re not growing. So the over 10% growth that we are getting in business banking funds managed in the loan book is all coming in the higher margin business, none of its coming in commercial mortgages. So that’s - that mix changes, what’s lifting margins in business banking and I see that being something that could be maintained. The second part of the business, personal banking different factors there, so one is that we had a promotion on to build our deposit bounces successful promotion. That ended in the second quarter. So the quarter-over-quarter improvement is as a result of that promotion coming off in the second quarter, so that’s more of an isolated incident. But we do have and we will have for some period of time 15% growth in CIBC branded mortgages and the offsetting impact of the runoff of the broker mortgage book. So net-net our mortgage growth is about at industry average about 6% maybe a bit better than industry average, but it’s composed of 15% growth in the higher margin CIBC branded mortgages and a runoff in the low margin broker mortgages. So that’s wind assist on margins that we’ll have for some foreseeable time and have had for a whole. All in those with rate changes and so forth that you refer to John, I’d say that that looking to stable flat. NIM is going forward is the right thing to have in mind. So the improvement we have this quarter for the reasons I outlined, I think when you wrap it all in together that’s just assume stable for the foreseeable future.
John Aiken: Great, thanks for the color, guys. I’ll wait queue.
David Williamson: Thanks John.
Operator: Thank you. The next question is from Meny Grauman from Cormark Securities. Please go ahead.
Meny Grauman: Hi good morning. Just wanted to ask a question about the dividend and buyback in the context of the macro environment and John talked about rising odds of Bank of Canada rate cut. I am wondering whether you view on dividends and buybacks is chancing given the big picture outlook.
Victor Dodig: Meny its Victor, I’ll take that question. Good morning to you. Couple of things, first off about I’d say, we feel good about the capital position that we are in at 10.9%, we feel that that’s a very robust CET 1 ratio. We also feel good about the quality of our earnings profile. We recognize the challenges that are ahead of us or we’re really focused on the quality of our earnings growth. And with as I said in the past, we have four capital allocation pillars. One is dividends, we have said in the past and I’ll say it again today, we’re working toward the higher end of our range on a consistent basis and that’s why we increased our dividend by $0.03 again this quarter. We feel comfortable with working toward that higher end even given the macroeconomic environment. The second thing is we are investing in our business. We are investing significantly to transform our bank. That will allow us to free up money, so that we can further those investments into the future. Banking is changing rapidly. We need to stay ahead of the curve. The third thing we’ve always talked about is the possibility of acquisitions. We monitor that. We are going to be prudent on that front. And the fourth would be buybacks. And as you know, we’ve announced again the a new buyback program that starts in September, that buyback lever has not been active, but in this price range, we think there is value and we would see some activity on that front.
Meny Grauman: If - any activity on the buyback, would that be any - could we read into that anything about the acquisition front, is there any connection between the two?
Victor Dodig: You should just read those four level, those are the four levers that we as a leadership team look at regularly and we think that that’s a lever that we can utilize but all four levers are active in our mind.
Meny Grauman: Thank you.
Operator: Thank you. The next question is from Gabriel Dechaine from Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Thank you. Good morning. Victor, let’s follow-on with that dividend theme, so fourth consecutive quarter of an increase, I think a lot of people appreciate that. Why don’t you take it as that further and move your payout ratio higher?
Victor Dodig: Gabriel. Good morning to you as well. We are comfortable with our 40 to 50 range when the midpoint of our range Gabriel. So we are just working toward the upper end. I think that’s the comfort zone that we want to work within.
Gabriel Dechaine: And at the midpoint of the range, so you view this quarter as you know good run rate, good representation of your earnings power and therefore your payout ratio, so?
Victor Dodig: Well, I will view - I view this quarter is being a very good quarter. Wholesale had particularly good activity that’s sometimes idiosyncratic just given the margin volatility that we’ve seen. But there is a large component of what we delivered this quarter that we think is sustainable. We feel very comfortable with the 40 to 50 range and working toward the higher end and we feel very comfortable that we can activate all four of those capital allocation levers.
Gabriel Dechaine: Okay, my other question is for David. Banking fees and typically banks in Canada have offset weaker growth with steady increase of the fee levels. I am just wondering what your strategy is, when you repo your fees, what the anticipated timing of the next round of fee increases and how are you managing your fee strategy, given some recent examples in the market that haven’t been so favorable plus maybe some changes in the government over the next few months that may take place?
David Williamson: Hi good morning, Gabriel. Yeah, I think you’ve actually done a good job of summarizing some of the benefits and disadvantages and the need to be thoughtful on the fee front. Our objective is as you know in retail business banking, throughout the bank. Its strong innovative relationship focused and client centric. So we need to balance our interest of the clients relative to some of the moves on fees, you are right. Couple of recent example where that has become an issue and we’re keen to make sure that we balance the need to invest in the business and the interest of shareholders with the interest of client. So the up short is we continually monitor the competitive landscape and monitor what we’re investing on and inside our business and fairly thoughtful of what we do on the fee front.
Gabriel Dechaine: Do you think there is less flexibility than to adjust your fees than you have in the past of that the same?
David Williamson: No, I think it’s same. I think periodically we’ll look at fees, we haven’t moved for a little while on some of those fees. So I don’t think the environment or any competitive pressure adjust our position. So it’s a more of a case of just being thoughtful about our competitive position, where we are investing, how we are meeting the needs of clients and therefore the resistivity to our fee structure. So I think our flexibility will raise the same, just been thoughtful on that front.
Gabriel Dechaine: Okay, thank you.
David Williamson: Thank you, Gabriel.
Operator: Thank you. [Operator Instruction] Thank you. The next question is from Robert Sedran from CIBC. Please go ahead.
Robert Sedran: Hi good morning. David, you talked about the business loan growth and I guess the emphasizing of commercial mortgages and so it would imply the rest of the book is growing more rapidly than tend. Can you give some color, I’d be curious both in terms of geography and industry where this growth is coming from and if there is any part of the country or any industry that you are emphasizing or deemphasizing right now?
David Williamson: Hi good morning, Rob. Yes it is. So you are right. Give that commercial mortgage book is flat and has been for while the rest of the book is growing in the double digit range substantially more than 10%. So very strong volume growth not just this quarter, we had that strength for a while in business banking and that genesis a lot of that has been our continued investment in our relationship managers or frontline and client development. To the geography part of it, now at broad based growth, now of course one element is the oil based provinces Alberta and other provinces. In the business banking side, what we see in Alberta and other oil based provinces still strong but down substantially from what it was even a year ago and now below the nation average. So at one point Alberta would have been growing above the nation average, now it’s growing below the nation average but it’s still growing and growing well. Otherwise, you look across the country and it’s a subtend of growth countrywide be why we set up our business banking operations is very much having relationship managers not just in Toronto but located across the country from coast to coast and that’s the part of meeting client needs and growing those books across the country.
Robert Sedran: And is Alberta growing below average because you are - are there less supply of credit or because there is less demand and how do you feel about the risk profile of the loans you are putting on in that region. I mean are they are tighter credits and then there might have been 18 months ago?
David Williamson: Regarding credit standards, I don’t think we’ve moved to - we are comfortable with where they were, we remain comfortable with where they are. The - as far as the change, I think that really a function of what’s going on in that market place. So was very subtends of growth when commodity prices were strong. And what we see now is not surprisingly a pullback in investment and therefore pull back in demand for credit. But again it’s still year-over-year growth and year-over-year good growth. So but I don’t think within the context of that market is surprising where there’s been a pull back and demand for credit. They were very comfortable with the natural loans we are putting on the book.
Robert Sedran: Thank you.
David Williamson: Thanks Rob.
Operator: Thank you. The next question is from Sumit Malhotra from Scotia Capital. Please go ahead.
Sumit Malhotra: Thanks. Just to stick with you for a moment Dave. Looking at the performance of operating leverage in your segment, you’ve obviously returned to positive status as we’ve seen last quarter and as you indicated. But I wanted to go back to maybe the bigger picture outlook on investment spending, if I go back a couple of years, you were communicated some of the system and technology expenditures at CIBC had to make not only to catch up with peers but to take the lead some fronts. How should we think about the expense an investment spend in particular go forward and whether the operating leverage we’ve seen from it in the last couple of quarters is what you view as sustainable now?
David Williamson: Good morning, Sumit. Yeah, let’s de-comp it a bit, so we’re talking about sustainability of operating leverage obviously two components the revenue growth side and the investment side. So let’s de-comp it and look at both. As you know for more than those two years, we’ve had two objectives enhancing client experience and accelerating profitable revenue growth. So let’s focus on that latter one as it relates to operating leverage. As Kevin said, in 5% revenue growth in personal banking, 5% in business banking, but if you go inside the onion of it, it’s being growing by more growth in funds manage. Some business banking as we just talked about more than 10% growth in business loans holding commercial mortgages flat, business deposit growth is 9% right, so funding that side of the asset growth. In personal banking, we talked about 15% in our own mortgages offset the runoff of the broker business and 12% growth in CIBC deposits again acting to fund the asset side of the balance sheet. So that funds managed growth is good for today but it also boards well to be good for the future as you got those deposits and assets for future sustainable revenue growth. Victor talked about quality, so that also speaks to sustainability too. Product count going up, margins this quarter widening, so we are not buying the business, we are earning it, so that speaks to sustainability. Client experience, Victor touched on that too, there is two big inputs that measure client experience, one is JD Power. And if you look at the three year since 2012 when we set client experience is being a key objective where they only bank that’s had a positive move in the JD Power score. We’re up 10 points, all the other banks are negative. And Net Promoter score measure, again if you look at those three year since we said client experience is a key objective, again where they only bank with a positive score. We are up 1.5 points. The next best bank of the big five is minus 5.5. So again it speaks to the sustainability of the revenue and since the clients were happy as what we are doing, margins are holding and maybe doing a bit better than margins. Depth is improving and we’re building our assets and liabilities, both sides of the balance sheet, so all speaks to a good foundation and sustainability on the revenue side. Let now move to the other part of the operating leverage which is investments. So when you look to investments, I think the key point would be that the investments we’ve made over the last couple of year are working fine, so we are predisposed to continue our investment in the business to maintain some of the progress we’ve given evidence to over the last couple of year. If and this is about - you know the question is kind of surfaced over loss, if macro conditions worsen and resulted an industry top line pressure, we would of course look at the pace of our investment or make other adjustments to manage operating leverage in a declining revenue environment. However, we are committed to the long term transformation of our business and we’ll continue to make the necessary investments to support our strategic objectives and create sustainable value for our clients and shareholders, that’s the overall mission.
Operator: Thank you. The next question is from Mr. Stefan Nedialkov from Citigroup. Please go ahead.
Stefan Nedialkov: Hi guys, good morning. Stefan from Citi here. Questions for Laura. Laura, you have traditionally given out some pretty interesting formation about stress testing in the past couple of quarters, what is the latest, I would assume you guys has done the couple of more stress test over the past couple of weeks and the oil price started declining more. Can you just give us some more color on assumptions used outputs or risk appetite in terms of PCL [ph] or growth impaired loans, just any numeric that might since you can because I think we needed plus my colleagues and a lot of investors are basically asking themselves , so when are the provisions coming, we announcing anything yet and at some point a 40% drop in investment must show off in higher provision, we are not seeing that yet. So I was just wondering how you are think about this, how are you thinking in terms of output from the stress test as well as the eventual timing of the provisions? Thank you.
Laura Dottori-Attanasio: Alright, thanks Stefan. Big question. I am going to try to give you as much as I can without giving you our actual formula because we could be here for a long time if I try to break that down. Maybe just before I get into the stress losses, I did want to point out that we’ve only seen limited losses in the sector so far, so you’ll see in our discloser that our growth impaired loans are 34 million and our loan loss provisions in this space are only 10 million. This quarter in the wholesale banking sides or corporate banking, commercial banking, only one account when impaired that was less than 10 million. Three accounts moved into our watch list, I’d point out in retail first as much as sort of top of the house, we are seeing any real movement in delinquencies. When we look at our weaker population and by weaker I mean our client base that has high leverage and low beckon scores, we are starting to see very small signs of stress in the oil provinces with that segment, where we are seeing early stage delinquencies that are up about 10%, 15%. And that’s on a year-over-year basis. So very early days and that is a very tiny segment of our retail portfolio, it’s about 1%, 2% range, so very tiny and that would represent about $2 million to $12 million of our stress losses. So when we get into stress losses, we’ve been running stress tests for quite some time. We do a top down stress and we do bottoms up stress. And specifically with our oil segment, we run our stress tests and update them on a monthly basis. So we run stress test quite conservatively. We’ve been running them at $50 oil, at $40 oil and at $30 oil. And when we run our stress test, we run it over three years of sustained prices. So what does it look like if oil is that $50 for three years or at $30 for three years and we also don’t assume that things get better in other areas, so this would just be sort of the add on. So when we do that exercise, our losses and this would be over a three year period, so I am just giving you ranges and I will remind you that if it’s a stress test so there is - our assumptions in there, it excludes any form of event risk. But our losses would go anywhere from call it $350 million to $650 million. So I want to try to stay away from the term manageable because I know that you guys don’t like the term. So I thought maybe I try a new one and see if can get away with that one on this call and say that if we do have $30 oil over a three year period, we can sustain that. So I am going to use the term sustainability. And I think that what I did want to point out and I think you are seeing it with some of the again very early days but some of our results is that our credit quality in this segment remains strong. There is a question earlier just like to address that we continue to have strong underwriting criteria, so we are not loosening any of our terms in terms of how we underwrite both in the corporate and retail spaces. And I would like to point out because I do think this is important is that our clients have actually been very proactive in managing their affairs. So we’ve seen our clients early on sort of reduce their cash burn, reduce their outstanding and so our clients are being very responsible in terms of how they are managing this and I believe that this itself so helping. So I guess I’d leave you with our portfolios are certainly performing as expected.
Stefan Nedialkov: Okay that is absolutely fantastic. Thanks a lot. Just to make sure that 360 to 600 million that’s accumulative three year loss basically?
Laura Dottori-Attanasio: Yeah, that’s correct.
Stefan Nedialkov: Okay, thank you.
Operator: Thank you. The question is from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca: Good morning. And Laura, just to be clear, that’s a pretax number?
Laura Dottori-Attanasio: Yes, it is.
Mario Mendonca: Okay, so let me move on to a broader question, just looking at the balance sheet. So this quarter I see that available sales securities are up $15 billion quarter-over-quarter and that ties in directly to significant increase about the same amount filled $15 billion increase in business and government deposits. So the first part of the question is what are we seeing here because I don’t see that increase in any of the segment disclosure, so must be incorporate, so what is the bank doing and I mean I get why the bank would increase the balance sheet certainly have the capacity for both capital and leverage, but what are you doing and how is that effected margins?
Kevin Glass: So let me - Mario, it’s Kevin. I’ll take the first of that. And then just is this part of our regular treasury liquidity and investment management activities. So we’ve been moving and if you go back a few quarters you will see some movement essentially in the opposite direction so we just rebalancing our investment mix and that’s from reverse into securities. And frankly just given the cost of funding and the nature of the AFA Securities if you purchase, it hasn’t made a significant impact on our margins.
Mario Mendonca: So - because I didn’t see either an increase or decrease in the all bank margin even though liquidities on a total basis were up materially. So what am I to take from as these are higher yielding securities?
Kevin Glass: No, I think just higher rating securities, so I essentially mainly U.S. trade not giving significantly increased deals at all, so that’s why we wouldn’t see an increase in the all bank margin.
Mario Mendonca: Okay and then - so the - sort of follow-up question is while the bank certainly has the capacity, it’s build up the balance sheet, is there any risk that the bank is taking in this sort of treasury management longer term by building out the balance sheet this way?
Kevin Glass: No, I don’t think say in fact the opposite. I mean you know these are assets for liquidity purposes, so that’s I’d say the answer to that will be no matter.
Mario Mendonca: Okay. And then actually no more question. Thank you.
Operator: Thank you. The next question is from Sohrab Movahedi from BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Thanks. Just Laura, just wanted to clarify one thing, the oil and gas portfolio 79% of the exposure is investment grade, last quarter I think you had said that was about 77% investment grade. So are you seeing drawdowns by the investment grade borrowers or you just adding to the investment grade?
Laura Dottori-Attanasio: In this particular case Sohrab, that would have an adding to the investment grade.
Sohrab Movahedi: Okay and so the RWA growth, when we are talking about it, is that draw downs of existing clients or is that just additional of new clients?
Laura Dottori-Attanasio: So the RWA growth we have the majority of it related to growth in our businesses then there was a good segment that related to FX. And there was a smaller amounts, I think it was $700 million that related to what we refer to is book quality and so that would be a number that relates if you will to sort of negative migration of the portfolio. And that’s across wholesale retail.
Sohrab Movahedi: Right, and that kind of the movement Laura, is consistent with what you would have seen out of your stress testing scenarios?
Laura Dottori-Attanasio: Well, still early days, I think I would tell you that our - like our stress is more aggressive than what we’re seeing in these quarterly numbers.
Sohrab Movahedi: Perfect, thank you very much.
Operator: Thank you. The next question is from Doug Young from Desjardins Bank. Please go ahead.
Doug Young: Hi good morning. Just firstly, I guess back to you Laura, just so I understand that the 350 to 650 that’s pretax, that’s just for the oil and gas regions that should direct and retail that’s above and beyond any normal course provisions and is that way to think of it?
Laura Dottori-Attanasio: That’s right.
Doug Young: Okay. And then my question is for David, and just on the Canadian banking side, I think even Victor mentioned in this quarter the benefits from deepening the relationship and the sustainable depth to relationship for your clients and I know you don’t give cross selling statistics and copy if you plan to do so. So can you talk and I think you’ve done this in past quarters that some of the items and some of the cross selling that you are seeing some of the successes that you are seeing in terms of cross selling, if you could provide numbers, just kind of talk about some of the success that you’ve had? Thanks.
David Williamson: Thanks. First comment I make is we haven’t given product if account numbers impart because they are not that comparable across institutions. But on October 7th, we are getting more together and I think we might see the opportunity to do a deeper dive in those space at the Investor Day that Victor refer to. So I’ll maybe just touch on lightly here. I mean the key thing is, going back some years; we talked about accelerating revenue growth, what we talked about quality as well. And one of the key tenants was to not have a lot of single product clients but to have deeper relationships with our clients. Historically we’d focused on success with certain products and hadn’t really worked to try to hug those clients and build deeper relationships and that was one of the fundamental tenants of how we wanted to grow going forward. So that in early days changing incentive plans to award the depth of relationship as opposed to single product sales. It effected the nature of some of the products that we sold, obviously are messaging through to the front line to some of our trading. When some time ago breakaway where we just had a more active relationship program what we call vote the clients that was calling out to existing clients that we can see their profile and we knew what kind of next product would make sense for them because we’re feeding leads based in our database to the frontline to say call this client because the next product would make sense for deeper relationship as an X and Y. So they were sensible intelligent leads resulting a good conversation, so we call that next best offer that program was a real success and continues to be a success just greater connectivity of their clients and on a - in an intelligent basis based on the data that we have. And then the big investment we made a while ago in what we used to call multiproduct sales origination now called COMPASS and that’s a front line system that use of the data we have on clients to again say in the discussion what products would make the more sense for that client. And it has a client based adjudication engine in the back. And it doesn’t sound like a big deal but it is. Normally adjudication engines are byproduct and this now it takes it to a client centric view. So if I has a client say or maybe I wish less in the way of credit card limits then I can use that an overdraft limit. So I can look at the amount of credit if you are willing to give that client and they can move it in between products and the engine behind COMPASS facilitates that type of client based adjudication. So those would be some of the steps that we’ve taken and like a lot of things in retail with a 11 million clients it works on the next one through the door to build overtime. So we get together in October, you won’t see a hockey stick on product use account. You’ll see a change in direction. It was going the wrong way a few years ago, it’s now going in the right way, but it is the gradual process of getting a 11 million people into a deeper relationship with us. But the trend lines are the right way and the number of initiatives I could on and link they won’t as to the things that we’ve done to try to get to those deeper relationships. Thanks Doug.
Doug Young: And just maybe a follow-up is how much you have great growth, how of that growth is from just existing clients versus new clients?
David Williamson: The bulk is existing clients building deeper relationships. But having said that the new client growth has improved over the last couple of years, things like the airport center of new Canadians and growth in the client base in Canada when the important levers is new Canadians. So things like being so present at the airport is linked to our desire to proactively build our client base, but the key thing in getting to deeper relationships is just lesser attrition and if you have a single product relationship attrition rates are about 15%. As we drive to deeper relationships, what we are seeing is less attrition in our existing base just speaks to a less churn, right. We have new clients come in, we have one product in a while later they leave. So two levers, new clients focus on new Canadians but then the second step is proactively build deeper relationships to mitigate attrition and frankly make for happier clients deeper relationships are happier client our relationship. The other part is just to build and retain our existing base and that’s gone well also.
Doug Young: Okay, thank you.
David Williamson: Thanks Doug.
Operator: Thank you. The next question is from Steve Theriault from Bank of America Merrill Lynch. Please go ahead.
Steve Theriault: Thanks so much. Hopefully a couple of quick one, just a follow-up with Laura, the 350 to 650 of cumulative losses, just curious would you suggest a losses would come more in the latter part of the three years, just trying to think about that a little, have the hard time envisioning the losses would come through over such a prolonged period of time. So how does that work through in your stress, if you can?
Laura Dottori-Attanasio: So the - you are right, so we are really looking at ugly events and they move a bit so when we look at our numbers, they peak a bit more towards the end of the second year. And the distribution between the two more would be waited to the commercial corporate book then to retail.
Steve Theriault: Okay, that’s helpful. And then for David, first can you remind us how long we’ve got until the first line runoff has its course and it’s hard given all the noise in recent years, what I really want to ask is do you think you’ll be in a position to take share ones the run off normalizes, so we still be punching below your weight in mortgages or will you be more of the normal share once all the dust settles here?
David Williamson: As far as the runoff, on average, I’d say another big one year left of substantive runoff. There will be five year mortgages even longer term mortgages, it will runoff for some extended period of time but as far as higher volume another year. As far as our overall sustainability of mortgage growth maybe just make sure around the same page. On a net basis, we’re growing at 6% and I think that’s probably ad industry or maybe better. Now that consist of 15% growth in the CIBC mortgage book. There was wind assist of stuff comes across from first line but even then it’s even without mortgage is coming across from first line to our own brand. We are still sustainably over 10% like well over 10%. So you’ve then got when first line quits burning off, that kind of underlying growth in the mortgage book. So subject to what happens in the macro environment just from our own perspective and sustainability there, there was a couple of drivers of that which should be sustainable in the near term, one is we’ve been focusing on processes and simplifying as Victor spoke to just being easier to deal with and speed your response times, that’s helped our sales. And the other is our investment in mobile mortgage advisors which were changing to mobile advisors generally, so not just focus on mortgages. But that’s a channel that we’ve been growing for a period of time eventually that growth will ebb as we get to a level of that we think is the right optimized level across the country. But for next year, we see continued growth in that channel and that channel is becoming more effective as they get into communities builder books, productivity levels are going up as well. So that lever will continue for the foreseeable future. So this on the areas of things that we can control whether it’s the investment in our processes or investments in mobile advisors that mortgage growth should be sustainable in the first line of book, we’ll start to reduce the outflow after another year or so.
Steve Theriault: Okay, that’s helpful, I’ve leave it there, thanks.
David Williamson: Thank you.
Operator: Thank you. The last question is from Peter Routledge from National Bank Financial. Please go ahead.
Peter Routledge: Hi. Couple of quick follow-ups just for Laura on page 15, the oil and gas exposure, it looks you have six roughly drawn, a 11 undrawn. Of each for drawn and undrawn, what percent is below investment grade credits?
Laura Dottori-Attanasio: I don’t know that I actually have that information right readily available. You would likely see those because our large investment grade companies tend to borrow less. So if you were to go from sort of your commitments to your undrawn, you would have less investment grade companies but it wouldn’t move that much maybe it take 10% off the number. And hold on, I have somebody is handing me a piece of paper, so I will be able to tell you if I can read what’s been handed to me. Yes, so that is about right, you take about 10% off, so 79, so you are still at about 70.
Peter Routledge: Okay. What’s the last given default you are assuming when you go from U.S. at 350 to 650?
Laura Dottori-Attanasio: That was what I’d said to Stefan, I didn’t want to get into all of the mechanics, so how we go about doing our stress testing. But needless to say that things get worse when we do the stress testing without getting into sort of the detailed numbers.
Peter Routledge: Right, would be materially different from what you show in the regulatory sub pac for corporate exposures, I guess which is about 33%?
Laura Dottori-Attanasio: Again difficult question to answer just given how we go about doing our stress testing, so I really don’t want to go there, it’s quite long and complex in terms of how we do our stress testing, so that number moves around quite a bit.
Peter Routledge: Okay. And then you have to make an assumption, the bank is making assumption about what oil prices would be next year 2016 and then that’s going to determine probably how you deal with your clients in that oil patch. What do you actually going to assume the oil price would be next year?
Laura Dottori-Attanasio: So we do run price decks, you are right, where we do that. And we actually just given what’s happening in the space. We have recently updated our price deck, that’s not information, however that we disclose but what I can tell you is you can appreciate is that that number has come down quite significantly versus what it would have been last - at the last borrowing days determination day.
Peter Routledge: And is that forced you hand to begin to maybe encourage your commercial banking colleagues to start reducing lines and calling loans and?
Laura Dottori-Attanasio: Well what happens, we have for our borrowing base clients, so we have what we call our determination, data borrowing base determination dates that happened about twice a year and we have one coming up in the fall. And so our clients are quite aware what we’re doing, they know where the price of oil is and where it’s going. So as I mentioned earlier, our clients have been very proactive in terms of how they are managing their borrowings. And so we don’t expect there to be that much conflict if you will in terms of us thriving at a different number then our clients will. I think we are all pretty well aligned. We work well with our clients. So I am not expecting to see much surprise there. That said they will obviously be more stress in the system given oil is trending lower.
Peter Routledge: Yes, okay, thank you very much.
Operator: Thank you. There are no further questions registered at this time. I’m now like to turn the meeting back to Mr. Weiss.
Geoff Weiss: Thanks operator. That concludes our call. If there are any follow-up questions, please contact our Investor Relations department. Thanks again for joining us and we look forward to seeing you on October 7.
Operator: Thank you. The conference is now ended. Please disconnect your lines at this time and we thank you for your participations.